Operator: Good afternoon, and welcome to HCI Group's First Quarter 2024 earnings call. My name is Kelly, and I will be your conference operator. [Operator Instructions] Before we begin today's call, I would like to remind everyone that this conference call is being recorded and will be available for replay through June 7, 2024, starting later today. The call is also being broadcast live via webcast and available via webcast replay until May 8, 2025 on the Investor Information section of HCI Group's website, www.hcigroup.com.   I would now like to turn the call over to Matt Glover, Gateway Investor Relations. Matt, please go ahead. 
Matt Glover: Thank you, Kelly, and good afternoon, everyone. Welcome to HCI Group's First Quarter 2024 earnings call. On today's call is Karin Coleman, HCI's Chief Operating Officer; Mark Harmsworth, HCI's Chief Financial Officer; and Paresh Patel, HCI's Chairman and Chief Executive Officer. Following Karin's operational update Mark will review our financial performance for the first quarter of 2024, and then Paresh will provide a strategic update.   To access today's webcast, please visit the Investor Information section of our corporate website at www.hcigroup.com. Before we begin, I would like to take the opportunity to remind our listeners that today's presentation in response to questions may contain forward-looking statements made pursuant to the Private Securities Litigation Reform Act of 1995. Words such as anticipate, estimate, expect, intend, plan and project and other similar words and expressions are intended to signify forward-looking statements. Forward-looking statements are not guarantees of future results and conditions, but rather are subject to various risks and uncertainties. Some of these risks and uncertainties are identified in the company's filings with the Securities and Exchange Commission. Should any risks or uncertainties develop into actual events, these developments could have material adverse effects on the company's business, financial conditions and results of operations. HCI Group disclaims all the obligations to update any forward-looking statements.   Now with that, I would like to turn the call over to Karin Coleman, Chief Operating Officer. Karin? 
Karin Coleman: Thank you, Matt, and welcome, everyone. In the first quarter, HCI Group reported Pre-Tax Income of $77.4 million and earnings per share of $3.81. Similar to my comments last quarter, each business unit made a positive contribution to our results, including another quarter of Homeowners Choice and TypTap both being solidly profitable. In-force premiums grew in the first quarter and remained above $1 billion. We reported another quarter of improvement in our underwriting results.   Despite modest weather losses in the quarter, our gross loss ratio improved to 31% compared to 34% in the prior year's quarter. HCI continued to deliver on its commitment to shareholders, paying a dividend of $0.40 per share, our 54th consecutive quarterly dividend. Also in the quarter, we completed our first assumption at Condo Owners Reciprocal Exchange or as we call it CORE, which totaled $40 million of in-force premium. Following quarter end, CORE completed a second assumption in April, which brings total in-force premium to $55 million.   Before I turn it over to Mark, I wanted to provide a quick update on the business that Homeowners Choice and TypTap has obtained from Citizens since November 2023. Overall, the power of the technology we built is showing its value and we've seen results exceed our expectations. We were able to evaluate Citizens' entire portfolio and select the 70,000 policies that best met our underwriting standards. So far, what we have observed is we were able to offer the majority of policyholders a renewal offer that was comparable to or less than if they had stayed with Citizens. We've retained more policyholders than we had expected. The loss ratio in the business we've assumed is better than anticipated, and we've added more than $0.25 billion of premiums in a few months with almost no added expense.   Now I'll turn it over to Mark to provide more details on our financials. 
Mark Harmsworth: Thanks, Karin. So as Karin mentioned, this was another good quarter for the company. Pre-Tax Income was just over $77 million and diluted earnings per share were $3.81. These results are being driven by the same positive trends we've been discussing for a while, premium growth, higher investment income, better loss trends and declining expense ratios. Gross premiums earned were 42% higher than the same quarter last year, driven by growth in Florida. Earned premium includes $67 million of premium assumed from Citizens of which $3.6 million relates to CORE, which I'll talk about in a minute.   Investment income of $14 million this quarter was about 40% higher than the fourth quarter last year, continuing the trend of higher investment income each consecutive quarter driven by higher cash and investment balances combined with higher rates. As we mentioned on the last call, we're starting to lock in some of the higher rates by strategically adding term to our bond portfolio. We recently purchased $170 million of 2-year treasuries at just under 5%.   The consolidated gross loss ratio this quarter was 31%, down from 33.6% in the same quarter last year. When the legislative changes were announced in 2022, we expected the gross loss ratio to come down to around 30%, which it has. The loss ratio was slightly higher than in Q4 because as Karin mentioned, we had some weather this quarter. Maybe more important, the positive loss trends we've been discussing for over a year now have continued. As an example, litigation propensity for the number of lawsuits for any given number of claims is 35% lower than it was before the legislative changes took effect.   I mentioned declining expense ratios in my introduction. Labor and operating expense as a percentage of gross premiums earned have been declining with each consecutive quarter. Why? Because of our operational leverage. In the past 12 months, we've added more than $300 million of premium and added only a handful of people. Along with the lower loss ratio, this helps lead to a lower combined ratio, which was around 70% in the fourth quarter last year and just under 67% this quarter. This, of course, is being impacted by the Citizens assumptions for which we have limited reinsurance and policy acquisition expenses. But once these normalize, we expect the combined ratio to be in the low to mid-80s, which is indicative of a very healthy insurance company and reflects the operational efficiencies we've generated with our technology platform in TypTap.   Before I move to the balance sheet, I wanted to mention one more thing on the income statement. As Karin mentioned, we recently started CORE, which is a new operating model for us in that we only administer the policies. Even though we did not own the underwriter, we are required to consolidate its income statement into ours. That means consolidated premiums include CORE premiums, consolidated reinsurance includes CORE reinsurance and the same for loss expense and policy acquisition expense. Then, of course, there's an adjustment to net income for any economic gains or losses, which are not ours. In order for a reader to be able to see the impact of CORE, we now show it separately in our segmented financial information in the 10-Q.   Now to the balance sheet, which continues to improve, driven by profitability, debt management and capital management. You may recall, we recently completed a number of capital transactions and when combined with growing profitability, the result is a much stronger balance sheet. In the last 12 months, consolidated cash and investments have gone up by $340 million. Holding company liquidity has grown by $30 million. Debt has dropped by more than $60 million. The debt-to-cap ratio has declined from 62% to 37%. Shareholder equity has more than doubled to $395 million. And lastly, book value per share has gone up from just under $21 per share to over $38 per share.   In summary, this was another great quarter for the company. Revenues up, all of our expense ratios are down and the balance sheet has continued to strengthen. And with that, I'll hand it over to Paresh. 
Paresh Patel: Thank you, Mark. As highlighted by Karin and Mark's comments, HCI posted outstanding results in the first quarter. This is because of our technology. And it is not just a talking point, it is driving our operational capabilities as well as our financial results. And even though we've grown to over $1 billion of in-force premium, this is just a fraction of the $150 billion homeowners' premium market across the U.S. So, there is still plenty of room for growth.   But more interesting is something new that we are noticing. Let me elaborate. We have added 70,000 new customers across Homeowners Choice and TypTap. In addition to that, we've added over 400 condo association policies at CORE. The process was seamless because we have the platform to efficiently onboard these policies. And as we've demonstrated, we can do it profitably. But we're also noticing that as these policies policy holders come up for renewal, they are staying with us in ever greater numbers. This is true across Homeowners Choice, TypTap and CORE.   Furthermore, we have seen strong interest from others to also join. Our phones have been ringing with prospective customers interested in getting a policy from one of the HCI Group of companies. And it extends even further than that. We're also hearing from agents, brokers and investors asking if we can do more. So, in summary, the opportunity that is unfolding in front of us isn't to add some incremental policies. It is much bigger than that.  We are looking to see how we can double or triple the size of the business. We think large numbers of policies are out there still searching for a better solution. And this is just the beginning. There is a growing sense that these trends are expanding throughout the country. And we can use our technology platforms to capture the various opportunities out there in the market as they arise. But as always, it will be done in our typical prudent fashion, and we are setting ourselves up to be ready to take advantage as these opportunities present themselves.   With that, I will turn it over for questions. 
Operator: The floor is now welcome for questions. [Operator Instructions] Your first question is coming from Michael Phillips with Oppenheimer. 
Michael Phillips: First question, Mark, when you mentioned the combined ratio expectations, you said low to mid-80s. What time frame, was that this year or just kind of -- was it a longer-term time frame? 
Mark Harmsworth: No. I mean, this year, yes, like now. I mean the point was, it's obviously significantly lower than that right now. But once we normalize in the -- toward the end of the second quarter with reinsurance and pack for Citizens' policies, that's our expectation for a combined ratio like the second half of the year. 
Michael Phillips: And then I guess, just curious how -- I mean you guys reinsurance [renewal] is coming up pretty soon. How do you think about that given the big growth from Citizens? I mean I don't know if it's in one direction, your -- most of your 2024 growth is going to be in Florida, so maybe more concentrated than the other ones. Would have been so you buy more? Or are you're just a bigger company, so you need less? Can you tell how are you thinking about the need for reinsurance [related] in the prior years because of [Citizens]. 
Paresh Patel: Look, -- we have managed this business to grow it from around $50 million of premium back in 2007 all the way to what it is now. So as the business grows and shrinks, which it has done occasionally as well, we buy an appropriate amount of reinsurance. So yes, the business has grown, but we're already in the market trying to buy an appropriate tower for the upcoming wind season. We are right in the middle of those negotiations and everything else. So, the two items that are there is we are buying an appropriate size tower for the appropriate size business. The only item that is not finished yet is what will the cost of that -- that reinsurance fee? But on presumes because you're buying a lot more quantity, it might be -- the overall dollars will go up, but it's a question, will it go up as a percentage of revenue, yes? 
Michael Phillips: And then I guess, lastly, Paresh you mentioned the phone calls that are coming in. You're not looking to grow the company beside policy [indiscernible] but maybe looking a bit more stuff. I guess, are you also considering are you getting any calls -- and would you consider maybe being fronting for other homeowners' companies that early [rate] business that don't have your technology in front for them as you expand outside of Florida and to more nationwide. Would that be an option? 
Paresh Patel: Yes. There are a number of options that people have approached us with and obviously, we're evaluating them, including people wanting us to buy books of business or buy small carriers' kind of thing. So, there's a broad range of options that are unfolding in front of us. Obviously, we are trying to make sure we are prudent as the way we deploy our technology so that it has maximum long-term value. But fronting could be an example as well, yes. 
Michael Phillips: Last one for now, just a numbers question. You had mentioned the in-force premium from CORE April to $55 million. I think before you said you were targeting around $75 million. Is that still the case for CORE? 
Paresh Patel: Ultimately, yes. 
Michael Phillips: And that's this year, Paresh, right? 
Paresh Patel: Yes. And I think that you brought up before, look, I also want to point out how amazing this is, right? CORE had 0 revenue on January 1 this year. It's May 8, less than 5.5 months later and you are up to $55 million as we had sort of laid out that we will be doing this, right? This is how easily and seamlessly we could add to this, yes? 
Operator: Your next question is coming from Mark Hughes with Truist. 
Mark Hughes: The low to mid-80s, low to mid-80s combined ratio. Just to be clear, that's -- is that gross or net earned? 
Mark Harmsworth: Net earned. 
Mark Hughes: That's on net earned? 
Mark Harmsworth: Yes. 
Mark Hughes: And then the cash at the hold co. at this point? 
Mark Harmsworth: The holding company liquidity at the end of Q1 is about $220 million. 
Mark Hughes: And then did you give an earned premium number for the takeout this quarter? 
Mark Harmsworth: So the -- what I had said was the -- in earned premium, there's $67 million of that relates to Citizens assumptions. And of that $67 million, $3.6 million of it is CORE. And that -- of course, some of that is direct, some of that is assumed, but in Q1, most of that is assumed, right? 
Mark Hughes: Yes. And then how do you feel about the Citizens. How do you feel about the takeout opportunity? Are there still attractive policies after what you've done and others? How do you feel about the potential, say, next time around? 
Paresh Patel: As we had said previously, there's still 1.1 million policies in Citizens, right? We can clearly see using our technology that a large number of them are green. A large number of them are red, right? So, there is still an opportunity there, right? It's just a question of when to go after them and what is the most prudent fashion in which to do so, yes? 
Mark Hughes: And then is there a written number associated with the takeout? You obviously just gave the earned, but is there a written just for referencing? 
Mark Harmsworth: For written? 
Mark Hughes: Yes. 
Mark Harmsworth: So there's about -- the total assumed written in Q1 was about $43 million. 
Mark Hughes: And was that already incorporated into the Homeowners Choice and TypTap -- and CORE? 
Mark Harmsworth: Yes. I mean I can give it to you by underwriter if you need it that way. But of that -- of that [$4319] of that was CORE. 
Paresh Patel: And Mark, from previous conversations, you know it works like differently with Citizens because your written premium is only the unearned premium that you're assuming. So, it sort of comes in a lumpy fashion to [indiscernible] lead the renewal and get them onto our paper, yes. 
Mark Hughes: Yes. And when you're talking about the success you're having with the Citizens takeout, I think you said the renewals are coming in better than expected -- your pricing, generally, you're able to offer pricing that's in line or less for renewal. Was there another aspect of that, again, as you were describing the success you've had with the Citizens takeout? Was that covering the benefit or the better experience? 
Karin Coleman: The other item is the loss ratio on the business we've assumed is better than we anticipated. And you know that we've added that quarter of $1 billion of premium with almost no added expenses. 
Operator: Your next question is coming from Matthew Carletti with Citizens JMP. 
Matthew Carletti: Paresh, when you talk about looking forward and opportunities to double, triple the size of the company, as you kind of hit those milestones, how do you view HCI kind of being similar or different? And I guess where I'm going with this is more geography than anything else. You -- how much opportunity you consider -- continue to see in Florida? Is there a certain market share at which you feel like you've got enough of the market? Or do you kind of see Florida growing in lockstep with the rest of the country and not changing much you just guys being bigger? 
Paresh Patel: Matt, if I was -- if you're speaking just geography-wise, right? When we talk about the $150 billion, probably about $20 billion is in Florida, yes? So, plenty of room to grow there. And that's obviously right in our backyard and that opportunities there. In the rest of the country, the other $130 billion, a big chunk of it in Texas, chunk of it is in California, etc., right? And all of these markets are going through their stress, just read any of the industry press and you'll see it. I think all of those markets will eventually stabilize out at much higher numbers. And at some point, there will be an opportunity.   How quickly that takes we can be patient to when it actually happens. So, we're just setting ourselves up. We're not handicapping us to when California will become an opportunity or when Oklahoma will become an opportunity, we're just sitting here, we're patiently waiting. But when they do become an opportunity is when we will jump in, yes? 
Matthew Carletti: And how do you think about -- you talked a bit in your comments and in the press release about the leverage that the technology provides. How do you think about -- you become, say, 2x the size or 3x the size? Like is there a certain expense ratio you believe you can operate or a certain spread better than kind of what the market is? 
Paresh Patel: Matt, I think we think of it in a slightly different context, but just to sort of put this, right? So, if you imagine that the first $1 billion, and these are the numbers, yes, when we write the second $1 billion, right, losses will go up proportionately because you doubled the business, you might end up with a similar number. Agent commissions will probably double up as well. But all the other kinds of corporate overhead and other expenses, right? Those will not double up. They will increase somewhat, but it's very easy to see that they will not double up. And that's where I think the leverage increases.   There will be some additional expense because it won't be 0, but it's -- we just added $280 million of premium, almost $300 million of premium. And we've hardly had any dollar increase in operating expenses. That's where that leverage is coming from, yes? And the automation is just within, yes. 
Matthew Carletti: And then if I could just a couple, I guess, one -- I guess, one numbers question, one, maybe numbers. You mentioned Q1 had a little weather to it, and that's maybe why you're like a point or fraction point higher on gross loss ratio. I know it's only about halfway through the quarter, but any early insights on Q2? Is it looking normal, looking active just from what you guys see? 
Mark Harmsworth: So far, it looks pretty normal. Nothing unusual at this point in April. 
Matthew Carletti: And then last one, just numbers. Do you have net written premiums consolidated handy? 
Mark Harmsworth: Yes. $187 million. 
Paresh Patel: Hey Matt, I think about a question from before. The other thing, by the way, and this is why I'm so excited in my -- when I was saying in my prepared remarks, right? We've long talked about technology in personal lines and homeowners' policies and that kind of thing. The interesting thing is in getting CORE up and running. We certainly realize how much of our technology platform, right, speeds up time to market of a new line of business. Commercial residential is different to residential, yes.   And it has opened our eyes that this platform can be used not only in different geographies, but also in different lines of business, right? You can go from residential to commercial residential to why not go to commercial, etc., right? I'm not saying we're doing that today. But we're certainly looking at this platform could be used in lots of ways that we've never used it before because once it's successful, you can just add on to it. So that's what is creating that opportunity about maybe doubling or tripling. There is more here than just writing more policies, yes? 
Operator: Your next question is coming from Michael Phillips again with Oppenheimer. 
Michael Phillips: Kind of a follow-up to Mark. Your comments about litigation propensity down around 35%. Can you remind us how are you handling your prior year loss [picks] and reserves, given what you're seeing there for that propensity to come down? 
Mark Harmsworth: I mean, we've -- for all of the exceeding quarters prior, we've made assumptions about what we think the ultimate cost of -- loss cost will be for any of those exceeding quarters, and that includes assumptions that we've made for the number of lawsuits that we will ultimately get. And so I mean, literally, every quarter, we're updating that estimate of how many lawsuits we'll ultimately get. And what I would say is that things are developing for the older exceeding quarters prior to the legislative changes, things are developing pretty much as we expected them to be nothing unusual.   We didn't have any adverse development in the -- we didn't have any adverse development at all in the first quarter. For the exceeding quarters after the legislative changes, we're still being -- we made selections that took into account the changes in legislation. We're still evaluating those as to whether we should potentially bring them down a little bit, but we haven't really done much of that yet. I mean we'll have to -- we need a little bit more time to go buy.   So, the way those exceeding quarters are developing is we've got about 35% fewer lawsuits than we would have gotten in the old world, if you will, or the old rules. And -- but we haven't reserved quite that optimistically, if that makes sense. 
Michael Phillips: So you didn't reserve for a, call it, whatever the number, a 35% drop or kind of the right number. But as you said, you built something in, but it wasn't to the level that you're currently seeing, right? 
Mark Harmsworth: Yes. I mean we knew it was going to be better, but it's better than -- it's better than we thought it was going to be. So, it's good. 
Paresh Patel: Michael, the other side of that is we actually go back. We had stated that many a time that we expected the numbers to be better, but we didn't have enough evidence to book to the better number. So, we've tended to be conservative in the quarter since the legislation got passed. But eventually, reality, whatever it is, will manifest itself. And I think Mark will at that point make appropriate adjustments. 
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Paresh Patel, who has a few closing remarks. 
Paresh Patel: On behalf of the entire management team, I would like to thank our shareholders, employees, agents, brokers and most importantly, our policyholders for their continued support. Thank you. 
Operator: This does conclude today's conference call.